Operator: Good morning, everyone, and welcome to Entourage Health Corp.'s First Quarter 2024 Results Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded, and a replay of this call is available on the Entourage Health website later today and will remain posted for the next 30 days. I would now like to turn the conference over to Catherine Flaman, Senior Director Communications and Corporate Affairs with Entourage Health for introductions. Please go ahead, Catherine.
Catherine Flaman: Thank you, Galen, and good morning, everyone. Welcome to Entourage Health's first quarter 2024 results conference call. Please note, this call is being recorded. For copies of our press release and supporting documents or to retrieve a recording of this call, please visit the Investor Relations page of our website at entouragehealthcorp.com. Repay will be available later this afternoon. With us on today's call, we have George Scorsis, Chief Executive Officer and Executive Chairman of Entourage; and Vaani Maharaj, our Chief Financial Officer. Today, we'll review the business highlights and financial results for the first quarter of 2024 as well as discuss recent developments. Following formal remarks, we will open the floor for questions. I would also like to remind everyone that during today's call, we will discuss our business outlook and certain forward-looking statements. Actual events or results could differ materially from those expressed or implied by such forward-looking statements due to several risks and uncertainties, including those mentioned in our most recent filings with SEDAR+. These comments are made based on predictions and expectations as of today. Other than as required by applicable securities law, the company does not assume any obligation to update or revise them to reflect new events or circumstances. At this time, it is my pleasure to introduce George Scorsis, Entourage Health CEO and Executive Chairman. George, please go ahead.
George Scorsis: Good morning, and welcome to Entourage's earnings conference call. I'm thrilled to share an overview of our first quarter financial results. We are currently in the strongest position we've ever been, showing performance in our core business. Our outlook has never been brighter, and I'm excited about Entourage's promising future. In our first quarter, we achieved $16.4 million in revenues, demonstrating a 9% year-over-year growth and a 23% sequential revenue increase from Q4 2023. This is driven by 10% growth in our adult-use revenue. Our company achieved a remarkable 92% year-over-year improvement in gross profit and a record 45% gross margin, surpassing the average profit margins across the sector. We definitely reduced the cost per unit by scaling operations, which was further complemented by stringent cost management across all levels. This success was further supported by increased automation, allowing us to produce more at a significantly lower cost. To top it off, strategic adjustments in pricing and product optimization helped us maintain market share. And most notably, our EBITDA improved by over $4 million, a 114% increase, marking our first positive EBITDA quarter setting our path to profitability. Although we have been quiet and laser-focused on the business, we are demonstrating our commitment to maintaining a leadership position in the rapidly evolving cannabis industry. I want to take a moment to emphasize the calculated planning and decision-making that led us here. Throughout 2023, we meticulously set the stage for the upcoming years by executing our strategic plan. We allocated our resources with precision and purpose, making difficult but absolutely necessary decisions to streamlining and simplifying the business. The result, a significant improvement in cost savings. By year-end, we achieved savings of $15 million. Our exceptional Q1 performance solidifies our position guaranteeing a successful year ahead that should instill confidence in our stakeholders about our future direction. Before I continue, I'd like to thank our teams for making this possible. Their dedication to our company's vision and execution of our strategic plan is truly inspiring. Everyone was committed to the vision of where we are today, and they fully execute it. From the bottom of my heart, I want to thank every employee of this company. Throughout the remainder of the year, we will continue to drive efficiencies and reduce costs. This approach will enhance our financial stability and position us to expand our growth initiatives. By diligently managing our expenses and maintaining a disciplined approach, we will stabilize our capital structure and promote sustainable growth. Despite the typical first quarter downturn in the adult-use cannabis industry, Entourage has outperformed expectations with a 10% increase in revenue. The achievement demonstrates the strong market appeal of our brands and reflects our resilience in navigating a challenging landscape. The strategic initiatives that drove us to our success, firstly, brand impact. Our recently launched brand, Dime Bag, has swiftly captured market attention, rapidly becoming the third fastest-growing brand in Ontario over consecutive quarters. The recent expansion in Alberta suggests it is well on its way to replicating the success we experienced in Ontario. Product mix optimization. Leveraging in-depth analysis of our product mix and a deep understanding of consumer preferences, Color cannabis has strategically positioned itself. We are proudly ranked as the 12th highest-selling pre-roll brand across the nation. Notably, in British Columbia, Canada's second largest cannabis market, we have achieved the number two pre-roll brand status. This underscores our commitment to delivering products that resonate with our retailers and consumers alike, ensuring our prominent placement in key markets. Automation and production. Our substantial investments in pre-roll automation have significantly enhanced our production capabilities, now yielding 2.2 million pre-rolls monthly. This scale not only supports our current distribution needs but also sets the stage for future growth. Market penetration and brand loyalty. Amidst significant brand competition, 80% of the retail outlets in key markets, such as Ontario, Alberta and British Columbia consistently carry at least one Entourage product. Impressively, half of these sell-ins now stock four or more of our products, signaling strong retailer confidence and growing consumer demand for our varied offerings. And lastly but very important to our core business is our leadership in medical. As we concentrate on boosting our revenue, let's turn our focus to the medical cannabis business, which operates within a high-margin sector. In the first quarter of 2024, Starseed has maintained a stable patient population, an impressive achievement given that recent Health Canada data indicates a downturn exceeding 15% in the medical patient base industry-wide. Starseed's ability to sustain its patient numbers in such a challenging environment underscores the effectiveness of its business strategies and its resilience against negative trends impacting the sector. Starseed's strong patient acquisition and retention practices affirm that our business model successfully navigates challenges that have led to declines for other companies in the industry. Additionally, we see significant growth opportunities in Canada. The environment allows us to strengthen our position. Our expertise in medical cannabis and high-quality products that cater to specific patient needs, our commitment to an innovative product portfolio appeals to a broad range of consumers and medical patients, keeping us ahead of market trends and improving our offerings. We are well equipped to address unmet needs in the medical cannabis market, gaining market share and driving sustained growth. We are developing a roadmap for launching new products in international markets, expanding our reach and fueling our medical cannabis growth strategy. Entourage continues to monitor global regulatory reforms that create distinct opportunities in emerging markets, especially the Drug Reform Act from countries like the U.S. This achievement demonstrates our dedication to long-term growth and our ability to adapt to market dynamics, reassuring our stakeholders that Entourage is surviving and thriving in this highly competitive cannabis industry. Before I hand it over to Vaani, I wanted to briefly touch on the Canadian market, which is undergoing a period of significant transformation. This presents valuable opportunities for Entourage. Several established players in the industry are facing financial difficulties, and we're going to jump on these opportunities within the marketplace. Clear winners are beginning to emerge as the market undergoes consolidation and a period of cleansing. [technical difficulty].
Operator: Pardon me, we seem to have lost the audio from the presenter line. And we have the presenters rejoined to the call. Please proceed.
Vaani Maharaj: Thank you, George, and thank you to everyone joining us on our call this morning. Please note that for the course of my financial discussion today, all information is prepared in accordance with International Financial Reporting Standards and is in Canadian dollars, unless otherwise stipulated. Our strong sales momentum continued into 2024, and as a result, we are pleased to report first quarter 2024 total revenue of $16.4 million, which represents a 9% increase on a year-over-year basis and an increase of 23% sequentially compared to the fourth quarter of 2023. On a year-over-year basis, the increase in revenue is largely due to the higher volume of sales as grams sold increased by 1.9 million grams or 50%, including bulk sales or an increase of 15% when bulk sales are excluded. Overall, average selling price per gram increased by $0.86 or 29%, slightly offsetting any pickup from the increase in grams sold. Viewing revenue on a channel basis. Medical continues to be stable with grams sold being slightly short to the prior year by 0.1 million grams or 7%. The average selling price per gram increased by $0.11 or 4% due to the product mix sold. Our adult-use business continues its steady, sustainable growth path. Grams sold during the three months ended March 31, 2024, were higher by 0.4 million grams or 22%, while selling price decreased by $0.28 or 10%. Overall, new SKUs, higher quality products and productive distribution relationships serve as important levers to enable sales growth. Our operational transformation story continues this quarter where our cost of goods sold on a year-over-year basis improved by $1.9 million or 22% overall. This represents and results margin of 46% due to lower labor costs as a result of automation of our pre-roll process and automation and efficiency initiatives, which have all culminated in reducing our temporary labor pool. Our labor per revenue figures have declined from $0.13 or $1 of net revenue to $0.10 per dollar of net revenue. As well, our cost of biomass has decreased by 45% year-over-year further bolstering our cost management initiatives. Turning to SG&A. Our expenses decreased by $2.5 million or 31% compared to the same period in 2023 and decreased slightly when compared on a sequential basis to Q4 2023. The year-over-year decrease was mainly driven by lower salaries due to streamlined operations and various restructuring initiatives, lower office and admin costs due to the prior year divestiture of cultivation as well as reducing our overall lease expenses and lower marketing and selling costs due to a change in our sales and marketing strategy to drive value out of existing contracts and reduce our agency fees. Net loss for the quarter ended March 31, 2024, was $6.3 million or $0.02 loss per share compared to a loss of $9.5 million or $0.03 per share in 2023. Our EBITDA increased 114% or $4.4 million to $0.5 million for the three months ended Q1 2024 compared to negative $3.9 million at the end of Q1 2023. This was primarily driven by our strategic transformation initiatives to reduce our operating costs and also due to our generating higher margin revenue. Turning to our balance sheet. We ended the quarter with cash and cash equivalents of $9.3 million compared to $11.2 million at the end of 2023. Our cash used in operating activities for Q1 2024 was $1.8 million compared to $7.6 million for Q1 2023. Improving our liquidity position and finding solutions for our capital structure continue to be key strategic priorities to provide financial flexibility to continue us in our ability to execute on our growth plans and innovation initiatives. In closing, our first quarter 2024 financial results demonstrate the results of our team's focus on driving shareholder value by delivering on consumer preferences and managing our costs closely. And with that, I'll turn it back over to George for closing remarks.
George Scorsis: Thank you, Vaani. And before we open the floor to questions, I want to apologize for any technical issues that we've had today. I would like to share some important insights as we continue. First, we have reached a significant milestone by achieving positive EBITDA. Our cost-saving initiatives are paving the way for our financial future. Secondly, our medical cannabis segment continues to thrive, establishing itself as a strong player in the industry and an industry leader with a unique proposition. We have experienced substantial commercial growth driven by market expansion, strategic partnerships and the introduction of new products. These accomplishments collectively lay a solid foundation for Entourage as we continue our upward trajectory through 2024. I would like to express my gratitude to our investors, our employees and partners for their support. Their collective efforts have propelled us forward, and I am confident that together, we will continue to build on the success in the coming quarters. Now I'll turn it over to you, Catherine.
Catherine Flaman: Thank you. This concludes our opening remarks. We're now ready for the further question-and-answer period. Galen, can you please give them instructions?
Operator:
George Scorsis: Thank you all again for joining us on today's call and for your continued interest in Entourage Health. We look forward to updating you on our continued progress. Please note, we will be hosting our AGM on June 12. Please visit our website Event page for details. If you have further questions, contact Catherine and our Investor Relations team. Thank you and wishing everyone a happy and healthy summer.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.